Operator: Good day, and welcome to the F.N.B. Corporation First Quarter 2020 Quarterly Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there'll be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Matt Lazzaro. Please go ahead.
Matt Lazzaro: Thank you. Good morning, everyone, and welcome to our earnings call. This conference call of F.N.B Corporation and the report it files with the Securities and Exchange Commission often contain forward-looking statements and non-GAAP financial measures. Non-GAAP financial measures should be viewed in addition to and not as an alternative for our reported results prepared in accordance with GAAP. Reconciliations of GAAP to non-GAAP operating measures to the most directly comparable GAAP financial measures are included in our presentation materials and in our earnings release. Please refer to these non-GAAP and forward-looking statement disclosures contained in our earnings release, related presentation materials and in our reports and registration statements filed with the Securities and Exchange Commission and available on our corporate website. A replay of this call will be available until April 30th and the webcast link will be posted to the About Us, Investor Relations & Shareholder Services section of our corporate website. I'll now turn the call over to Vince Delie, Chairman, President and CEO.
Vince Delie: Good morning and welcome to our earnings call. On today's call, I'd like to address three key topics. First, I'll begin by providing an update on how we are navigating our business through the COVID-19 pandemic while supporting our employees, customers, communities, and shareholders. Secondly, I'd like to briefly comment on a few points about our first quarter financial performance. And finally, I'd like to revisit several key strategic initiatives and programs. Our company's existing pandemic preparedness plan and ongoing pandemic exercises enabled F.N.B. to stay at the front of this escalating crisis. Dating back to 2018, our management team went through a pandemic simulation and collaborated with our business continuity team to develop a formal pandemic response plan. During this process, sustainability was thoroughly evaluated and ultimately formed the foundation of the comprehensive plan currently in place.  Additionally, our ongoing commitment to invest in our digital channels and technology played a critical role in our ability to provide convenient banking options for our customers who were not able to leave their homes. Our investments in technology also enabled us to build and establish an automated process to handle nearly 15,000 business applications for the SBA Paycheck Protection Program in just one week's time. Our efforts resulted in approving and processing 75% of those applications in the first round of funding representing $2.1 billion in loans. We anticipate processing the remaining applications during the second round of funding. As I mentioned, when Phase one of F.N.B.’s technology initiative called clicks-to-bricks began. We had previously introduced online appointment setting and we are able to quickly make specialized COVID-19 contents and offerings available in our solution centers. We tapped into the strength of our established communication channels for both customers and employees, keeping both audiences informed of any updates. Our employees’ response to this crisis has been exceptional. They're professional, compassionate, positive, and resilient attitudes have been a bright light in helping each other, our customers and our communities while navigating these unprecedented times. Protecting the health, safety and financial well being of our employees remains critical as we find ways to address any impacts to their health or the health of their families. For example, F.N.B. provided our team with up to 15 days paid leave and also expanded our existing paid caregiver lead program. Additionally to assist with any possible financial hardships resulting from the coronavirus, F.N.B. provided a special assistance payment to essential employees working on the frontline and in our operations areas who ensure that our customers continue to receive vital financial services. We also leveraged our IT infrastructure by making accommodations to give employees the ability to work remotely where appropriate. To-date we have approximately 2200 colleagues working remotely, which represents about half of our workforce and largely non-retail position. This capability also speaks to our investment in technology and IT infrastructure. As we focus on our communities, the F.N.B. foundation committed to provide $1 million in relief in response to COVID-19, benefiting food banks and providing essential medical supplies. Many of our employees began reaching out to our clients and our communities to provide support that our Pittsburgh headquarters F.N.B.’s vendor management team has been using our vetting process to assist Allegheny County and quickly researching new vendors, offering medical supplies and services to combat COVID-19. With respect to our retail branches, we have focused on drive up services, enclosed our lobbies reverting to appointment-only practices which are supported by the appointment setting capability within our clicks-to-bricks platform. As you can imagine, the monumental commitment of our leadership team and employees to operate in this challenging environment required a sustained 24/7 effort. I'd like to commend our employees for the actions they've taken to execute and abide by our safety measures while continuing operations. With these key priorities and actions in place, let me pivot and comment briefly on our first quarter performance.  Given all this happened in a noisy quarter, our underlying core performance remained solid. Our philosophy is to maintain our approach to risk management through varying economic cycles and serve as the primary capital provider to our clients. While F.N.B like many banks will be subject to a difficult economic environment. This philosophy and the actions we have taken to strengthen our balance sheet and reduce risk should position F.N.B. well as we move through the current crisis.  Looking at the quarter’ results, GAAP EPS at $0.14 included $0.15 of bottom-line impact from significant items primarily related to COVID-19 and the adoption and implementation of CECL and the corresponding reserve build under these macroeconomic conditions. The top line results were solid as revenue increased to more than $300 million driven by strong loan and deposit growth and positive results across our fee-based businesses. Average commercial loans grew $225 million or 6% as we saw activity pick up in late March, particularly in C&I with growth of 17%. I'll note there was limited impact to average balances from anticipated liquidity draws. Compared to the first quarter of 2019, average deposits increased 5% with growth in non-interest bearing deposits of 7% leading to an improved funding mix. The net interest margin expanded to 3.14% supported by strong loan growth, a seven basis point improvement in total cost of funds and higher accretion levels compared to the prior quarter. The fundamental trends in non-interest income were strong with capital markets revenues of $11 million setting another record in the first quarter.  Insurance and mortgage banking income also had strong underlying performance. Due to the significant shift in the interest rate environment, our non-interest income includes $7.7 million of impairment on mortgage servicing rights, excluding changes in MSR valuation, mortgage banking income totaled $6.7 million up more than 50% from the first quarter of 2019 with significant pipelines moving forward. On a core basis, expenses remain stable compared to the fourth quarter and disciplined expense management will continue to be a top priority as we move beyond this crisis. Vince and Gary will provide more detail on the implementation of CECL and additional details on the financials and their remarks. With that, I'll turn the call over to Gary.
Gary Guerrieri: Thank you, Vince, and good morning, everyone. We closed out the first quarter of 2020 with our credit portfolio remaining in a satisfactory position in the midst of the current global challenges that have come as a result of COVID-19. The first quarter also marked the adoption of the CECL accounting standard, which is our communicated last quarter brings additional changes to the reporting of credit quality metrics. I will also review the steps we are taking to monitor the book and manage the emerging risks while continuing to meet the credit needs of our borrowers and the communities in which we operate. Let's now review our first quarter results. The level of delinquency at March 31 totaled 1.13 percentage, up 19 basis points over the prior quarter and included a temporary uptick in early stage. A majority of which has already been brought current. NPLs and OREO totaled 64 basis points and nine basis point increase linked quarter. This increase does not reflect credit deterioration but rather changes in non-accrual reporting moving from the former PCI pool accounting to the new CECL standard. Net charge-offs remained low at $5.7 million for the quarter or 10 basis points annualized. Provision expense for the quarter totaled $48 million of which $38 million relates to a reserve build for adverse macroeconomic conditions tied to COVID-19. The ending reserve stands at 1.44%, up 15 basis points compared to our day one CECL reserve of 1.29% providing NPL coverage of 256% at quarter end. It's worthnoting that inclusive of unamortized loan discounts are period ending reserve represents 66% of our 2018 DFAST severely adverse scenario charge-offs. Our teams have been working tirelessly over the last several weeks meeting with borrowers, reviewing credits, tracking performance metrics, and administering government-backed lending programs as part of our response to the COVID-19 crisis. We entered the crisis with our credit portfolio in a position of strength due in large part to our core credit philosophies that I have discussed with you before, including consistent underwriting, proactive management of risk, attentive and aggressive workout, and a balanced asset mix spanning our entire footprint. We have taken many actions over the last several years to maintain a lower risk profile to position our book to withstand various economic cycles and adverse conditions similar to those we are currently experiencing. Over the last four years, we have sold approximately $700 million in loans to proactively de-risk the balance sheet. A large portion of which were higher risk acquired loans that we were able to move off the books at a financial benefit to the company. We've also historically limited our exposure to highly sensitive industries like travel and leisure, food and accommodation and energy with exposure to these three industries remaining very low, totaling only 3.8% of our loan portfolio. As it relates to relief programs, we were able to quickly mobilize our credit teams to review and approve payment deferral plans for qualified borrowers, which to date, totals approximately 6% of our loan portfolio. As an SBA preferred lender, we have also been working diligently to support our small business borrowers in securing PPP financing that is fully backed by the SBA. The volume and key performance metrics for these relief programs are monitored daily through a specialized set of reports developed in response to COVID-19. Using our holistic credit systems, we have been tracking daily utilization rates, deferral activity, PPP loan volume, and borrower impact assessments, which are broken down further to allow us to monitor our credit portfolio by line of business, loan product, geography, and industry. In addition to expanded analytics, we have also leveraged our existing allowance and DFAST frameworks to conduct scenario analysis and stress testing including select loan portfolios. All of the actions taken will help us manage through the challenging conditions faced by the industry today. Above all, I would like to take a moment to recognize our team of bankers and credit support staff for all of their hard work and dedication to help meet the credit needs of our customers and communities during this challenging time. We'll continue to draw on the leadership and experience of our credit and banking teams to manage through this challenging environment as we have in past cycles. I will now turn the call over to Vince Calabrese, our Chief Financial Officer for his remarks.
Vince Calabrese: Thanks, Gary, and good morning, everyone. Today, I'll cover our results for the first quarter and provide an update on the current environment. As noted on Slide 9, first quarter GAAP EPS totaled $0.14 which includes $0.15 of significant items. The TCE ratio ended March at 7.36%, reflecting 16 basis points of CECL adoption impact and another 15 basis points for the $48 million of after-tax items. These significant items are listed in the reconciliation tables with the biggest piece being the COVID-19 related reserve build of $38 million during the first quarter. We used a pandemic driven recessionary scenario in evaluating the macroeconomic projections. Let's start with the review of the balance sheet on Slide 14. Linked-quarter average loan growth totaled $278 million or 5% annualized attributable to commercial growth of 6% and consumer growth of 2%. The average commercial growth includes less than one percentage point annualized for COVID-19 related increases in commercial line utilization that occurred in the month of March. Continuing on the balance sheet slide, on a linked-quarter basis, average deposits were relatively flat, is normal seasonal outflows impacted average balances. On a year-over-year basis, average deposits were up $1.2 billion or 5.2%. From an overall liquidity standpoint, we are comfortable with our current position, including the benefit of opportunistically accessing the debt capital markets to raise $300 million in holding company liquidity at very attractive spreads on February 20. We also executed a portion of our previously announced share repurchase program, buying back 2.4 million shares prior to March 12, representing 0.7% of our total shares outstanding. Turning to the income statement. On Slide 15, net interest income totaled $233 million, up $6.2 million or 2.7% from last quarter. The net interest margin expanded seven basis points to 3.14% driven by solid average loan growth, lower cost of funds and higher discount accretion levels now that we are in a CECL environment. During the first quarter, the higher discount accretion offset the pressure on variable rate loan yields given the significant decline in the short end of the curve. On the funding side, the total cost of funds decreased seven basis points to 1.01% from 1.08%, reflecting lower borrowing costs as well as a shift in funding mix and a 10 basis point reduction in the cost of interest bearing deposits. Slide 16 and 17 provide details for non-interest income and expense. There continues to be strong performance in capital markets, mortgage banking, insurance and trust as well as for operating non-interest income as a whole. As Vince noted earlier, we are consistently receiving positive contributions from our fee-based businesses which diversifies our revenue base and helps to mitigate the impact of a volatile interest rate environment. Looking at the first quarter, non-interest income totaled $68.5 million, a 7.4% decrease from last quarter due mainly to the impact from the $7.7 million MSR impairment given the moon down in interest rates. Excluding the impairment, non-interest income increased $2.2 million or 3% with capital markets posting a record of $11.1 million increasing 29% from the fourth quarter driven by strong origination volume. Turning to slide 17. Non-interest expense on a run rate basis remains stable compared to fourth quarter levels. This excludes $2 million of expenses associated with COVID-19, $8.3 million of branch consolidation costs and $5.6 million of expense related to changes in retirement provisions for new grants under our long-term incentive program that do not affect the total cost of the grants but do affect expense recognition timing. Bank shares and franchise taxes increased $1.7 million, reflecting the recognition of a $1.2 million state tax credit in the prior quarter and higher year end 2019 bank capital levels. While other increases and decreases essentially offset each other. The efficiency ratio equaled 59% compared to 56%, as the other unusual or out-sized items increased the current quarter's efficiency ratio by over three percentage points. Regarding guidance, the outlook we shared in January is no longer relevant given the impacts of the COVID-19 pandemic on the overall economy and the uncertainty around the length of time it takes to recover. However, in the spirit of transparency into our short-term forecasts, we are providing our current directional outlook for the second quarter of 2020 on Slide 18 based on what we know today, which is subject to change given the very fluid situation we are all managing through. We expect second quarter net interest income to decline mid single digits from first quarter levels as the net interest margin reflects a full quarters’ impact of the current interest rate levels. We expect average loan balances to be up mid-to-high single digits reflecting higher March 31 spot balances and $2.1 billion of PPP loans from the initial phase of the program that are expected to fund during the quarter. The second phase of the program would be additive to these figures. As we strive to accommodate all of our customers that want to participate. We expect expenses to be flat from the core level of $178 million this quarter. We expect our core fee trends to continue from solid levels in the first quarter with service charges expected to decline due to COVID-19 impacts on certain products and services. We expect the effective tax rate to be around 20%. With that, I will turn the call back to Vince.
Vince Delie: Thanks, Vince. I'd like to touch on several initiatives that stand out as we move forward. In January, we launched our new interactive website designed with enhanced functionality that creates a one stop shopping and interactive digital experience. Online appointment setting, a streamlined account opening process and deploying interactive teller machines throughout our footprint are just a few of the functionalities that are clicks-to-bricks digital strategy affords us, combined with our network of nearly 40 ITMs and 550 ATMs and our robust award winning mobile application. We are well positioned to continue to provide service to our customers through multiple channels and meet their needs during this time of social distancing and economic challenges. We've invested heavily in our mobile and online platform, which is critical during a time of limited operations in the physical channels. Mobile deposits are up more than 40% in the last two weeks of March compared to the year ago period and pre-COVID-19 first quarter levels. F.N.B will continue to build out our digital capabilities as previously planned. Protect our customers and communities from economic disruption, F.N.B. was one of the first banks to develop a structured deferral program and announced several measures to support customers who may be enduring financial hardships and we are directly impacted by COVID-19. Furthermore, we instituted an outreach program and activated an outbound calling initiative to contact thousands of customers across all business units during the crisis ensuring their needs were being met. We also continue to participate in the previously mentioned Paycheck Protection Program and evaluate other COVID-19 related Federal government relief programs to determine their suitability for our customers and communities. Regarding our outlook, liquidity, and overall capital position, we consistently run stress tests for a variety of economic situations including severely adverse scenarios that have economic conditions like current conditions. Under these scenarios, our capital ratios remain above the threshold and we are able to maintain appropriate liquidity levels, demonstrating our ability to continue to support all of our constituencies under stressful financial conditions. As we gain more clarity on this evolving health pandemic and the resulting challenging economic environment, we will continue to update you on key business drivers and expectations. In closing, I'd like to express how proud I am of our team's efforts during this very difficult time to identify new and creative ways to connect with those in need. This is an unprecedented time for our nation and our industry. Our mission has always been to improve the quality of life in the communities we serve. Now more than ever, we must work together to support those impacted by this public health crisis. As such, I want to again say thank you to our employees and all those serving on the frontline in our communities who are making a difference as we navigate through this together,
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Jared Shaw with Wells Fargo Securities. Please go ahead.
Jared Shaw: Good morning, guys.
Vince Delie: Good morning, Jared.
Gary Guerrieri: Good morning, Jared.
Jared Shaw: First on the margin, walk us through some of the moving parts as you look out into second quarter. I would think that with the strong growth in PPP that that would offset some of the pressure in second quarter. I guess maybe on the PPP, are you accounting for those fees or do you anticipate to account for those fees through NII? And then what is the blended fee rate on the $2.1 billion that you have there?
Vince Calabrese: Sure. I can make a few comments, Jared. So just kind of walking through the outlook for the net interest income going forward. As we've talked about in the past, the changes in one month LIBOR and prime have a significant impact on our net interest income and margin. If you look at where average LIBOR was for the last couple quarters and projection for this quarter, it was 1.84% in the fourth quarter, 1.68% in the first quarter and projected to be around 0.70% on average for the second quarter. We have $8.5 billion in LIBOR-based loans and another $2.9 its prime based. So the projected moved down, obviously impacts those loan portfolios. Now offsetting the impact, we continue to reduce the rates on our interest bearing deposit costs as we've talked about. We're projecting another 33 basis point reduction in the second quarter from first quarter levels and then we will have benefits as you mentioned from the PPP program as we fund this quarter. The 2.1 billion, you'll have, our average fee rate we're estimating is around 3% is how that would kind of calculate out when you go through the tiering. The spread is 65 basis points. So kind of an all in margin is around two, two and a quarter for those loans. The way we're going to account for it, is you put them on the loan system, kind of loan by loan. So it's created in over two year period. And then once the loans are forgiven and paid off, you would bring in the remainder of the fees into interest income at that point in time. And then lastly, the last piece I would comment on too is just the accretion that we had this quarter running through and kind of a CECL environment versus the pre-CECL environment. So it was about $17 million this quarter, is up about $7 million from the fourth quarter. So that contributed to the first quarter. I don't expect it to be quite at that level, in the second quarter, but I don't know, because it's a function of prepayments and with under the CECL accounting, there's a lot more variables that, that get factored into that with pre-payments being a big contributor. So I still expect it to be a meaningful contributor in the second quarter, just not quite at that as high as that $17 million. If you looked at the last third and fourth quarter of last year, we were running 10 basis points to 12 basis points from accretion it’s probably a reasonable run rate subject to change based on what happens with prepayments during the quarter.
Vince Delie: Hey, Jared. A couple of other points on the PPP program. Of the 15,000 applications that we brought in, we have kind of originated in average loan size of about $180,000. So we're on the lower end of the spectrum in terms of the size. We have more small businesses coming through that that pipeline. We still have 25% that are still out there. That totals about $650 million that we processed and are ready to be processed in round two once the funds are available. And we would expect some additional fundings on top of that. Just in the spirit of transparency. We've also funded about 90% of the $2.1 billion already. So they're closed on the books.
Jared Shaw: On the loan growth this quarter did I hear you right? Did he say that there was only 1% of the growth was from increased line utilization or was that line utilization went up 1%?
Vince Calabrese: No, it was 1% on average, right. So the line utilization occurred later in March that we would have had. So on average, the 1% of that 5% growth that I mentioned, the average balance growth.
Gary Guerrieri: Hey Jared, I can add to Vince’s comments there. Our usage was running around 42%, little over 42% prior to the COVID impact. It peaked at just under 47%, as you know, businesses built some cash positions. We're already back down to 43.8%. So it's really getting close to back to a normalized level at this point.
Vince Calabrese: But we really don't have a significant amount of large corporate exposure that essentially was funded up either to put liquidity on their balance sheet or to back up commercial paper offerings. We don't have a tremendous amount of that in our portfolio. So the liquidity draws were much lower than what others would have reported.
Jared Shaw: Okay, great. Thanks. And then just finally for me. The – sorry, under deferrals, you said that's 6% of total loans are in deferral. Are you seeing any concentration in either category of loan or geography?
Gary Guerrieri: Yes, right now, we're at about 5%. We expect with the pipeline to be at about 6% or just a touch over 6% based on the pipeline that we have. In terms of those deferrals, we're seeing those in the industries that you would expect, restaurant, travel, tourism. Those books are very small from our perspective as we've strategically, really not had a focus on lending into that space as we've talked in the past. So, it's really concentrated kind of there.
Vince Calabrese: And if you look at the dispersion of deferrals, it's all – it’s pretty similar across the loan types in terms of percentage of the size of the portfolio, right. Gary? I mean it's ranging around 2.5% – 2% to 2.9% is pretty much where it is. So it's pretty consistent that we're not seeing a spike in one particular area.
Jared Shaw: Okay. All right. Thanks for the color. That’s helpful.
Vince Calabrese: Yes. Thanks, Jared.
Operator: Our next question comes from Frank Schiraldi with Piper Sandler. Please go ahead.
Frank Schiraldi: Good morning.
Vince Delie: Good morning, Frank.
Vince Calabrese: Good morning.
Frank Schiraldi: Just curious on, if you can give any more detail, Gary around stress testing? If we sort of think about the baseline outlook, how loss expectations stack up to the last cycle to 2008, 2009 at the legacy bank. I guess every, excluding Florida is coming back then?
Gary Guerrieri: Yes, Frank, what I would say to you that we have been very proactive and strategically have de-risked the balance sheet over the last number of years like I mentioned earlier, and we're coming off some very solid charge off levels over the last 18 months. Naturally, the world has changed. We expect that consistency in the underwriting that we talk about with you all the time on the front end to play a meaningful role as we go forward here. In terms of charge-offs, all banks are going to experience credit deterioration as is typical in any downturn. And this one is rather severe at this point. In our last stress test, we remained well capitalized and expect to be able to fully execute our business plan from a charge off standpoint under those adverse scenarios. And to the extent that the forecasted economic conditions under the CECL methodology are worse than COVID-19 conditions are at this point that we used at March 27th date. So we're using some very current COVID information around our modeling. We would expect any potential reserve build to occur from normal levels based on movements from this point in time. So from a loss perspective, we're not going to forecast the losses as we go forward. But we do expect the portfolio to perform as well as possible through the cycle that we're dealing with right now based on the consistency that we've talked about in the underwriting.
Vince Calabrese: And if you go to page 13 in the deck, Frank, there's a comparison on F.N.B.’s performance, our net charge offs over average loans back historically. Gary, maybe you could comment on that. I mean it does exclude Regency and the Florida portfolio that we divested.
Gary Guerrieri: Yes. So, back in the 2009 and 2010, great recession that we all experienced a number of years ago. On page 13, you see F.N.B.’s performance through that cycle. This is basically the core bank. At that point in time, it did exclude – it does exclude Florida and Regency as those portfolios are now no longer a part of the company's balance sheet. That consistent underwriting that we had in place back then remains today. And we do expect that that will allow us to perform better than the industry as a whole as this cycle moves through itself.
Frank Schiraldi: Okay. And then, just back to the margin and NII guide for 2Q Vince, I'm sorry, does that include any accretion in NII expectations? Or I don't know, have you left yourself enough, wide enough range there, I'm just curious?
Vince Calabrese: No, it would include, my comment earlier about kind of 10 basis points to 12 basis points. If you look at the third and fourth quarter kind of run rates, which were pre-CECL. I would expect that to be kind of more normal run rate next quarter, right. Again, it's a function of prepayments, though. Repayments end up being high again. We would have more. So I think that's kind – it's kind of a reasonable number I would say Frank. And I truly won't know until you kind of quarter plays itself out. But there's definitely that kind of 10 to 12 in there for the second quarter. That's baked into our number. And then also I should clarify too, that we mentioned the $2.1 billion in the PPP activity, that's on the books for two months of the quarter. So you don't have to 2.1, you have 2/3 of that just from a modeling standpoint. And that's included in the number two into the target.
Frank Schiraldi: Okay. But I guess what wouldn't be included is if they are only on the books for two months. Well, I guess it's late in the course. So you don't have anything from the 3% being accelerated, because some of the stuff is going to be forgiven, nothing like that as in 2Q?
Vince Calabrese: No. No. It's just – what it would include is normal accretion within that two-year timeframe. It's going to probably that forgiveness process probably going to get you through June 30. There's going to be…
Vince Delie: I would expect it would get you beyond June 30, Frank. So you'll probably look at the third quarter event there starting with the forgiveness items to go through.
Vince Calabrese: Yes. So I don't have any acceleration to that fee in my number, Frank. It's just kind of normal accretion for two-year period.
Frank Schiraldi: And then just finally, what is your expectation for LIBOR, and this guidance, is it just sort of steady state from here?
Vince Calabrese: Well, I mentioned in my earlier comments that, 70 basis points is kind of what we're projecting. I mean we're in the, I think we’re in the high 50s right now. So for the quarter on average, 70 we started the quarter a little bit higher. So that's what's baked into our numbers.
Frank Schiraldi: Got you. I missed that sorry. Thank you.
Vince Calabrese: That's okay. Sure.
Operator: Our next question comes from Michael Young with SunTrust. Please go ahead.
Michael Young: Hey, good morning.
Vince Delie: Good morning, Mike.
Michael Young: Thanks. Good morning. I wanted to start, maybe, Gary, with just the additional COVID-19 reserve that you put up this quarter. Can you just talk about sort of the assumptions of went into that, the macroeconomic assumptions and any weightings that you used or management overlays to arrive at that number?
Gary Guerrieri: Sure. I can give you an overview of that. We're using a pandemic recession scenario where we see significant deterioration in the economy up front with slight improvement later in the year and then a continued economic weakness throughout 2021. We're not taking into account in our analysis, any of the government stimulus programs around our modeling. So there's no benefit from any of that.  We will review and incorporate really about a dozen variables just like we always have in the DFAST modeling scenarios that we continue to run and those variables include a few examples I'll give you such as the Dow, housing, consumer confidence, levels, GDP, and unemployment are a number of the examples there. That’s really what’s driving our models and the analysis that we’ve done around the portfolio. 
Michael Young: And I would assume that was time stamped kind of end of March. So commissions maybe have worsened a little bit since then, if we little bit since then if we stay on kind of a similar trajectory that would require more reserve bill potentially next quarter just to be on where we stand.
Vince Delie: Well we continue to run these scenarios. We've run them as recent as the last couple of days based on the update. Again, our motto was run as of the March 27 timeframe. And as of our most recent run with the updated data, it's really not a material difference albeit slightly, but nothing material based on just simulated models that we're running.
Michael Young: Okay. And Gary, I think, you've done a great job on the slide here breaking out kind of all the COVID sensitive industries, et cetera. Are there any areas that we should be particularly watchful of or that you think may have more near term risk than others, whether it be less liquidity, less cash or more severely impacted collateral?
Gary Guerrieri: Yes, I would say that from an industry standpoint naturally restaurants are severely impacted. Hotels are severely impacted. Energy is in a tough spot right now, also being impacted. These are some of the categories, specifically hotels and the energy, we did have a small restaurant book and some very good clients that – we stopped lending into the hotel space 4.5 years ago. It was a strategic decision and it's proven to be a very good one. We got some assets as we've talked in the past from the acquisitions. We have de-risked that portfolio and, and not being active in lending into that at all. As for energy, I mean, you can see by the slide deck, I mean, we're not an energy lender, we got a customers that are very sound and as well as a few publicly traded entities there that continue to perform well. But those are the industries that I would be initially concerned about as we're in the early stages here and with all the uncertainty that everyone is still facing. Those have the potential to become a more problematic at a faster pace.  Again, strategically, we've positioned our self and made decisions over time to maintain very small portfolios there. And I think that's going to pay dividends for us as we move through this cycle.
Vince Delie: And I think in the past we disclosed our energy related exposures back a few years ago, right Gary, when there was a downturn. I think it was about three, maybe four years ago. 
Gary Guerrieri: Yes.
Vince Delie: We've cut that exposure in half. So I mean, I think, it's pretty evident that we've not been active in these areas. I think you should comment on the retail exposure as well because as you look at operations in the current environment, I mean, it's difficult for many retailers. If you look at the granularity of our book as well on the retail side there are some segments within retail that are going to continue to perform, right? Grocery, there's a number of them in here.
Gary Guerrieri: Yes, I think that's an important point as well, Vince, because of that naturally there are concerns there. The key point here, the grocery, gas station, automotive, that makes up two thirds of our retail C&I book. So that's a heavy dose of it. A number of those industries have remained opened as essential industries. So, we feel fairly good about the position of our retail book, coming into this, as well as, working its way through a soft spot here from an economic standpoint.
Michael Young: Okay, thanks.
Operator: Our next question comes from Casey Haire with Jefferies. Please go ahead.
Casey Haire: Yes, thanks. Good morning guys.
Vince Delie: Good morning.
Casey Haire: I guess first question on the second quarter guide as it relates to the balance sheet, is the – should we just assume that earning assets track loan growth here, because securities book was flattish and deposits were down. Just trying to get a sense as to what kind of balance sheet we can expect on the second quarter?
Vince Delie: Yes, it will probably be a little lighter than that because the investment portfolio we actually shrank during the quarter just given reinvestment. I think we reduced it almost $200 million, $191 million during the first quarter. So my guess is the cash flow on that is $1.6 billion over 12 months. So I would expect that to kind of run down a little bit from there, again a function of prepayments. I mean we are doing some investing, just not fully reinvesting the cash flow. So earning assets would be a little bit lower than.
Vince Calabrese: I think you want to remember the balances, the depository balances for us are seasonal.
Casey Haire: Yes I’ll make a note.
Vince Calabrese: Of course yes. So it will build over time.
Casey Haire: Yes, understood. And just on the loan growth, I mean because $2.1 billion is, I mean that's 7% of the earning asset base in the first quarter here. And I know you had some line draws towards the end of the quarter. So you're bleeding in positively on a core loan growth basis into the second quarter. But what is the expectation for, and it sounds like that utilization has come down. So I guess my point is what is the core loan book? What's the expectation for a core F.N.B. loans outside of – outside of PPP in the second quarter?
Vince Calabrese: Yes, I think it's a little tough to tell at this stage in the game. I mean I think we've got a good solid customer base. We're not seeing a lot of movement. I don't think anybody is really eager to move at this point. So, I would expect us to – I would expect the balances that we have today to be pretty solid. I think that the pipeline is still pretty good, but like I said, we're kind of in a standstill because you can't really visit prospects. I know that we are winning business in the marketplace for a number of reasons. I think our execution on PPP was extraordinarily good, relative to what I've seen. We had a capture rate on our customers alone of 80%. We had about 10% new customers when we opened it up to new customers initially. So the execution has been good and the comments have been pretty favorable. So I would expect after this all starts to settle down later in the year that there'll be an acceleration in activity. I don't know what else to – I don't know if you want to add anything Gary?
Gary Guerrieri: Yes, I mean, we've seen some good, steady business throughout the last month, month and a half from our client base. I mean, they are still investing, specifically around some certain investments that they had planned. A few of them have temporarily held those off, but we've seen some pretty decent lending activity right through the last month and a half or so.
Vince Calabrese: And it's obviously you have to be careful because we're in the midst of crisis and we understand the impact that could have on financial performance of the borrower. So we're being cautious. But, I think, we're positioned pretty well as we move through this crisis on the other side.
Casey Haire: Understood. The TCE ratio at 740 at the quarter, I know that PPP could put some pressure on that and it carries a zero risk waiting, but you guys are a little bit more levered than most on that ratio. What is your appetite? How low are you willing to get that ratio – let that ratio go?
Vince Calabrese: Well, we're supposed to be growing that. So that was our strategy prior to the crisis. I think we're – again, I think, our capital position relative to the risk in the portfolio is good. I think that we've mentioned, we've stressed our capital position in a variety of scenarios including the pandemic scenario that Gary mentioned. So I feel pretty good about that. I would expect, as we move into the future, to see an acceleration in the benefit of the fee income, really helping us in the third quarter in terms of capital build because, I think, that you will see an acceleration and hopefully in forgiveness on these loans and as people comply with the requirements that will be laid out. I mean they're not out there yet, but will be laid out. So I think all of that keeps us in a pretty good place, from a TCE perspective and tangible book value per share perspective. Vince, I don't know if you want to add anything or have I missed anything?
Gary Guerrieri : Yes, I would just add a couple things. I mean, absent the PPP impacts we would expect that ratio to be solely building on a quarterly basis to your point, that was – it was building. So I think it's important to remember that. That's kind of went underneath. The temporary impact of the $2.1 billion brings us down just under 7%. We're comfortable with that for all the reasons that Vince mentioned and the strength of the balance sheet. And then whatever happens in Phase two now as far as the funding, that would incrementally bring you down from there. But $2 billion brings you from basically $736 million to $695 million. So it's about 21 basis points or so for $1 billion worth of those loans. And again, they're temporary and as you know they don't affect the regulatory ratios at all, but they do affect the TCE ratio. So we're comfortable with that temporary level and then kind of rebuilding from there, once those loans go back off the books.
Casey Haire: Okay, thanks. Just last one from me, Gary, apologies if I missed this in your – on your script, but the forbearance and the modifications, can you just give us a sense, has that – at 6% is that – has that reached a peak, similar to the line draws that they peaked and they came back down? Just trying to get a sense for the pace of forbearance.
Gary Guerrieri: Yes, just to clarify Casey we're at about 5% right now. And with the pipeline we're anticipating that it's going to get to just a touch over 6%, it has slowed dramatically. At this point we do expect continued trickle there, but it has slowed dramatically from a commercial borrower perspective. We're still working through some of the mortgage portfolio at this point. But that has also slowed as we sit today.
Casey Haire: Great, thank you.
Gary Guerrieri: Thanks Casey.
Vince Delie: Thanks Casey.
Operator: The next question comes from Russell Gunther of D.A. Davidson. Please go ahead.
Russell Gunther: Hey, good morning guys. Just a couple of follow-ups.
Gary Guerrieri: Good morning Russell.
Russell Gunther: Good morning Gary. So for you, I appreciate all of the granularity, just wanted to circle back on the COVID19 sensitive exposures you called out, restaurant, hotels, energy, anything you could share from an underwriting perspective as to where LTVs and debt service coverage stands? And then the follow-up would be you mentioned internal stress tests that you are performing. Just curious as to type of loss rates you would be assuming within those three at risk buckets as well.
Gary Guerrieri: Yes, in terms of the industries from an LTV standpoint, generally speaking, you're going to see a 70%, low 70% range around LTVs around those spaces. And that's going to run fairly consistent across our portfolio. What was the second piece of the question Russell?
Russell Gunther: Just any detail you could share, Gary, in terms of the internal stress testing that you mentioned in your comments and assumed loss rates within some of the more at risk portfolios.
Gary Guerrieri: Okay, Vince is going to cover that.
Vince Calabrese: Yes, I would just say Russell, I mean that we wanted to put that 66% out there. So, just to restate what was in Gary's note. So if you include the unamortized loan discounts, our period end reserve at March 31, 66% of the severely adverse charge offs over nine quarters from the last stress test that we did. Just to put it in perspective that it's a significant reserve against those charge offs. And we haven't really disclosed all the different pieces of the different loss rates. But what I can tell you is we hit it very hard in that severely, adverse scenario and have every time we've done it.
Russell Gunther: I appreciate it guys. Thank you for taking my questions.
Vince Calabrese: Thank you, Russell.
Gary Guerrieri: Thank you.
Operator: Our next question comes from Collyn Gilbert with KBW.
Collyn Gilbert: Thanks. Good morning everyone.
Vince Delie: Good morning.
Gary Guerrieri: Good morning, Collyn.
Vince Calabrese: Good morning, Collyn.
Collyn Gilbert: Just to stick to the credit discussion for a second, so if we kind of assume Gary you mentioned kind of 6% of – you are seeing in terms of deferrals right now, I guess that's like $1.4 billion. Do you know how much of those deferrals would be included in that? I guess roughly $3.5 billion of sort of COVID sensitive loans that you classify in Slide 11?
Gary Guerrieri: Yes, in terms of the deferred loans in the retail IRE book it's a total of $470 million, the food and accommodation is about $75 million and let me find the lodging. The lodging is about $175 million. And retail right at about $145 million. 
Collyn Gilbert: Okay. And then the rest is just I'm guessing just smaller granular numbers. 
Gary Guerrieri: That’s correct Collyn.
Collyn Gilbert: Okay. All right, that's helpful. And then, just wanted to clarify just on the NIM, just to make sure I've got these numbers right. So the actual accretion dollar amount that you guys saw this quarter was what, if we compare that to like the $9.6 million you guys saw in fourth quarter?
Vince Calabrese: Yes, it was $17 million, $17.1 million.
Collyn Gilbert: Okay. Okay, so then on a core NIM basis, is it – I guess that would imply maybe that a core NIM fell about four bps in the first quarter. Is that right core NIM would settle out at like 90?
Vince Calabrese: Yes, if the excluded that, I mean it's kind of all in there, right as we go forward into CECL environment. So the $17 million, I'm trying to think of – hang on a second. Yes, I guess that's about…
Vince Delie: [Indiscernible]
Vince Calabrese: That's about like three – what is it about five to six basis points would be $8.8 million is three basis points of margin. So yes, it's around five basis points or so.
Collyn Gilbert: Okay, got it. Okay. And then just lastly on kind of the loan growth discussion in trying to reconcile Gary kind of your comment about the pipeline and you still have some customer activities still flowing through. But yet obviously there's a lot of activity that also has come to kind of a screeching halt. But then just thinking about kind of, I guess capital markets, it sounds like you're – I mean you obviously had a great quarter in capital markets this quarter. And it sounds like the expectation there based on your guidance is that that – those levels should hold into this quarter. So I'm just trying to understand I guess you're seeing there's a visible pipeline there that would cause you to say that or just trying to reconcile maybe the thought that activity would start to slow pretty meaningfully there. So just trying to understand why you still have – go ahead.
Vince Delie: Yes, I think you have to look at fee income in total, Collyn, because the mortgage bank is – their pipeline is huge. And they took the big impairment. I don't anticipate – I'm not sure what's going to happen with interest rates.
Vince Calabrese: Right.
Vince Delie: I don't want to forecast. But I would expect that their fee income in the next quarter would be significantly higher. And then you have the SBA business outside of the PPP program that had a pretty solid pipeline going into this situation. And then there's a lot of activity. The first two months of March were pretty darn good from an origination perspective for us across the geographies. So I would expect that that capital markets activity would continue into next quarter. I can't predict at what level, but I would expect it to continue because there are a number of companies that would like to fix their debt and there are several deals that we were working through, from a syndication's perspective. So, again there's a lot of uncertainty. We're trying to do the best we can with the forecasting, but we were looking pretty good going into this. We'll see what happens as it all shakes out.
Collyn Gilbert: Yes, that’s great. Okay that’s all I had thanks guys.
Vince Calabrese: Thank you very much.
Vince Delie: Thanks.
Operator: Our next question comes from Brody Preston with Stephens Inc. Please go ahead.
Brody Preston: Good morning everyone. How are you?
Vince Calabrese: Good morning.
Vince Delie: Good morning Brody. Good. How are you?
Brody Preston: Yes, good. I just want to circle back on the PPP income recognition. So I just want to better understand why would, I guess, be pushed out to 3Q? Because just from an accrual accounting perspective you did most of the activity here early in the second quarter and then there's the eight-week period, which gets us to sort of the beginning, the beginning weeks of June. And so I would think that you would have a sense for at least around one, what's been utilized by June and so what forgiven? And just so why wouldn’t you accrue for that in 2Q as opposed to 3Q?
Vince Calabrese: Well, there's a process. They still have to put out the guidelines on the forgiveness as to how that process is going to work Brody. So you're really not going to know with certainty that every single loan will get that forgiveness. They are all a hundred percent guaranteed. So from a risk standpoint you're covered there. But from a kind of loan accounting standpoint you can't really bring in the un-amortized or un-accreted fee until the loan is forgiven and paid off. So, since you don't know with certainty that all 100% of those are going to be forgiven when they go through the still to be defined SBA process, that's why. And we'll accrete some of it in, but the full amount really doesn't come in until the loan is truly paid off and then you would bring it in.
Vince Delie: And I'd say, given the size of our client coming through, I mean the last batch that we funded was under $100,000. So I think that there’s going to be a bigger delay. We have more small businesses that we brought through here. Our average is way lower than many out there. So the timing of when that they prepare the information to get the forgiveness in the queue on the process that we don't have yet is a big question mark. So I think for us it's going to be maybe a little slower because the customers aren't as sophisticated, right? So it might take them a little longer.
Vince Calabrese: Well, plus there's an eight-week period that's baked into that.
Vince Delie: Yes.
Vince Calabrese: You first have to wait till after eight weeks and then you have to follow whatever the process is that the SBA lays out as far as how it's going to work. So that that gets you through June 30.
Vince Delie: Yes, it's into the third quarter.
Vince Calabrese: Yes.
Brody Preston: Right. 
Gary Guerrieri: Yes, they're matching the fee up with the loan on a per loan basis, and then kind of baking it into the yield, I guess, so it will show up.
Vince Delie: Yes, okay got it. 
Brody Preston: Right, okay. All right, that's helpful. And then just wanted to go back Gary, you said you're at 5% of loans on deferral right now, expect to get up to about 6%, just given what's in the pipeline. So that's about $1.4 billion. You all, I guess in a slide deck, you are starting with 90-day deferrals for these customers, but FASB and the regulators have sort of given the way to get up to 180 days deferral periods. Do you expect to go there for the bulk of these loans or are you seeing, I guess, like if you could give some color on the type of borrower that’s taking advantage of the deferrals are you seeing a mix between borrowers that actually need it and maybe some borrowers that are pretty strong, maybe just want some extra liquidity?
Vince Delie: We are seeing that. And what I can tell you, Brody is a significant piece of the – significant percentage of the commercial borrowers, which we've offered interest only payments to are essentially deferring the principal only or a full deferral. We are very heavy on the interest only side of that equation. So the borrowers are choosing north of 70% of the time to pay the interest and just defer the principal. So I think that speaks to the quality of the borrower and the portfolio that's looking for deferrals here. I think they are looking for to preserve cash and deferrals are available. So they're taking advantage of that appropriately.  As far as the 180 days is concerned, we will support borrowers that need it for an additional 90 days. So we will be working with those borrowers as we go forward. I would expect the restaurant industry would be an industry that would need an additional 90 days as potentially that hotel industry as well. So, primarily I think they're going to be heavily focused there.
Brody Preston: Okay. That's great color. And I guess the reason I'm asking is just like, I'm trying to gauge whether or not you would expect to see a significant increase in your accrued interest receivable line item, which just based on the fact that 70% of your commercial borrowers are continuing – are asking for IO. I'm assuming that you don't expect to see your accrued interest receivable move significantly higher.
Gary Guerrieri: I don't want to be capitalized into the loan, too. Right. Right. No, no, we don't.
Brody Preston: Okay. Just – because I guess I'm wondering, like with some of these borrowers, like where you're accruing interest, or maybe you're not necessarily receiving it, that will get capitalized into the loan balance maybe on the back end, but I'm assuming that that would flow into accrued interest receivable in the interim. Correct?
Gary Guerrieri: Well, not if you're capitalizing it. If you're capitalizing it, it becomes part of the loan balance.
Brody Preston: Okay.
Vince Calabrese: You're funding it and packing it on to the end of the loan.
Gary Guerrieri: That’s right.
Vince Delie: Accruing interest on a higher balance over a period of time.
Gary Guerrieri: That’s right.
Vince Calabrese: That's what's happening.
Gary Guerrieri: It's small.
Vince Calabrese: It is smaller, but it is a small piece, but it has higher value, but it’s okay.
Brody Preston: Okay. And you mentioned the – the current reserve would be 66% of the 2018 DFAST, the severe loss scenario. So that that severe loss sort of fits to about $520 million just doing the math. Is that a one year loss scenario, or is that spread out over multiple years in that stress test?
Gary Guerrieri: So that's over nine quarters.
Vince Calabrese: The way you do the stress test. So that's cumulative losses over a nine quarter period.
Brody Preston: So it sounds like just based on that and just given what the PPNR run rate is, that you wouldn't even need to dip into the reserve because PPNR would more than cover the losses. Is that fair to say?
Vince Calabrese: I'm not sure I'm following you Brody, can you restate that?
Brody Preston: Yes. Like your PPNR levels are more than adequate at that level over that time to cover those losses, if you provision for it every quarter where you wouldn't necessarily need to dip into the reserve. 
Vince Calabrese: I see what you're saying. Yes, well it depends on how…
Vince Delie: How it plays out.
Vince Calabrese: How the economy plays out.
Vince Delie: Let's hope that.
Vince Calabrese: Yes.
Vince Delie: Yes.
Brody Preston: Alright. And then Vince, you mentioned, an interesting stat, mobile deposits being up 40% in the last two weeks. And I know that the situation is fluid, but that's a pretty, big number. And so I just wanted to better understand has anything happened in the last month or so that's changed how you're thinking about your footprint? Because are there any geographies where customer behavior has surprised you in terms of mobile adoption during this timeframe, or you hadn't previously considered branch cutting and now maybe you are thinking about it?
Vince Delie: Well, we've cut a lot of branches. In fact we cut 16 leading up to this we probably would have left them open had we not already gone down the path. What I'm finding – what's interesting is that we're still seeing about 65% of the normal volume in the branches from a transaction perspective. So what that's telling me is that while people were willing to use remote capture and that's remote capture end-to-end, so that could be small businesses, instead of going to the branch using their device in their office, it's mobile people using their mobile device, like I mentioned, and we increased the limits to permit more checks to flow through there. I would expect and what we've witnessed is a number of customers that may have been older that weren't using our online and mobile products are now signing up for it. So, we're walking them through it in the branches. So I would expect adoption of those products to be accelerated. We've significantly reduced the number of branches. I think we’re getting to the point where the conversion of those branches is good. And if we continue to cut at this rate without making some sort of capital investment in the delivery channel, it will begin to erode our ability to grow. So we’re looking at that. And what I mean by that is we're going to have to be strategic about closures. We may have to build a new facility and take two out in an area where we can accommodate a consolidation, but it requires CapEx spend. That's where we are, I think, in the evolution of branch closures.
Brody Preston: Okay. And then a couple real quick one…
Vince Delie: Well, the other thing I will mention is we also saw a significant uptick in ITM transactions, obviously. So, we have about 40 ITMs, the interactive teller machine, where you can actually speak to a human being, cash a check down to a bend. They've been – the utilization on those has increased in the last several weeks. Again, the more comfortable consumers become using these devices and the equipment, I think, it bodes well for the future in terms of utilization, which could lead to more efficiency in the branches from an HR perspective. So there’s other ways to look at it. But this is a good question and I appreciate the question. Thank you. 
Brody Preston: Yes. And then one last one from me, with capital I just assuming the buy backs are on hold, I am sorry, if you said that in the script.
Vince Delie: The buyback is on hold. I think Vince mentioned in his prepared comments we acquired about $25 million worth of shares prior to everything, in floating and then we put it on hold to the preserve capital.
Brody Preston: All right, great. Thank you very much everyone.
Vince Delie: Yes.
Gary Guerrieri: Thanks Brody. 
Vince Delie: Thank you.
Operator: Our next question comes from Brian Martin with Janney Montgomery. Please go ahead.
Brian Martin: Hey good morning guys. 
Vince Delie: Hey good morning Brian.
Gary Guerrieri: Good morning Brian.
Vince Calabrese: Hey Brian.
Brian Martin: Most of my stuff has been covered. But just – maybe I just – on the back of the PPP for just a minute Gary or I guess maybe a Vince I’m sorry. If you talk about the 3% rate and you talk about the $2.1 billion, just so I understand the – what you are talking about as far as when the benefit is realized or how you guys were thinking about it, just given there's not a lot of disclosure on it or how you're going to do that. If you take 3% and you are talking $60 million and you kind of – as you recognize it the next couple of quarters or kind of what you guys are thinking about, can you give any sense for just how that $60 million just on the fee part, not the spread part was, as you're thinking about it today would flow through from a high level perspective how much of the benefit in second and third quarter or in third and fourth quarter?
Vince Calabrese: Yes, it would come in over the two years, Brian, absent stuff, once it's forgiven then you would bring in whatever is left. It's accounted for loan by loan. So basically the figure you quoted the 60-ish, which is what the math would work out to be, it just gets spread over the two-year period, which is just the life of loans, the state of life of the loans, I guess I should say. And then what we were saying earlier is that the way process we expect it to work, the loans are not going to be forgiven until you get into the third quarter when they would get paid off. And then we would bring whatever is left. On each loan that’s forgiven you would bring that into income during the third quarter.
Brian Martin: Okay.
Vince Calabrese: So I quote it like a 2.25% kind of all in yields that we would have is what was kind of baked in for the second quarter.
Brian Martin: Got you. Okay, that's helpful. And then just on the, I guess, as it relates to the balance sheet and the capital mean, Gary, you talked about the loans you – the assets you sold over the last couple of years. Is there anything, I guess you would consider, I guess, is that something you guys are thinking about now any other asset sales here going forward? Or is that not really something you are thinking about today?
Gary Guerrieri: Yes, we were constantly looking at the balance sheet, Brian. And we don't have anything positioned at all that we have any interest in selling at this point. That being said, we are always looking at the mortgage portfolio. So if there would be anything, it would just be a normal cut type of mortgage pool that would be sold, but nothing other than that.
Vince Delie: And it would be a challenge. I mean, we sold those portfolios during a more robust time. So I think – and we were able to get out of those exposures in most cases at a premium. And I go back, I reflect back on the calls. I know we were under tremendous pressure to grow revenue, but Gary made the strategic decision to exit certain classes, asset classes, hospitality was a large component of those loans that were sold, and they were past credits in many instances. So I think we’ve taken a big bite out of the apple in terms of risk management. And if you look back, getting out of Regency, moving away from certain mortgage products that we decided to sell, looking at the credit portfolios, the acquired portfolios that had heavy concentration in hospitality and other areas that we didn't have an appetite for we packaged and sold. And we sold them at a time when you could get a gain on the sale because there was more certainty at that time. Credit spreads were narrower.
Gary Guerrieri: The other thing I would add around that, Brian is our workout team. We've really strengthened it over the course of the last two, 2.5 years and they have been doing some tremendous work moving assets off the books that we won off the books. And we're seeing that continue today. So we are benefiting from that as well. And that's something that is a core focus of the company and will continue to be.
Brian Martin: Got you. Okay, no that's helpful. And as I said, it looks like a great move. So just the last one for me was just on the fee income part. Just two questions. Did I hear you right, I know the service charges were down this quarter, but you would expect them to go down further? And just if you gave any color on just given the market conditions, kind of how you are thinking about the wealth of the trust business today, if that's also comes under pressure, you already saw some of that, are you seeing any of that?
Vince Delie: Last part and I'll go back to the forecast.
Gary Guerrieri: Go ahead.
Vince Delie: Okay. All right. Yes, I can – I guess what I would say, the guidance that we have there is just expecting kind of core noninterest income to be stable from where we were except for the weaker service charges. I mean we do expect – we've seen some increased waivers, not a big number, I mean less than $1 million that we've seen in, say, the first four weeks of this. So there is some impact there. And then there's just last activity. So the comment was that expecting to see weaker service charges on the deposit transaction. So that will kind of run against what's happening in the other businesses. We're still looking for strong contributions. When you look at the noninterest income slide that we have in the deck, I mean we could see the movement up year-over-year versus the fourth quarter and trust, insurance, securities commissions, capital markets was all very strong. I mean the percentage growth versus both fourth quarter and first quarter a year ago is up very nicely. And we've invested in those businesses. We've continued to build out the teams there. So I think those contributions are – have been very important to mitigate the interest rate impacts. And then mortgage we would expect to, without an MSR impact this quarter, we would expect that number to kind of come back to a normal, good, solid level in the second quarter.
Vince Calabrese: But from an earnings perspective if you are speaking about net asset values declining because of the overall market decline, I would not expect that to be meaningful or material. Right. So on an earnings perspective, I'd say it's not going to be material. 
Brian Martin: Okay. That's all I had guys. I appreciate all the color and the details in the release today.
Vince Delie: Thank you.
Gary Guerrieri: Thanks Brian.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Vince Delie: Well, first of all, I would like to thank everybody for the thoughtful questions. I hope you found the information valuable. We tried to provide additional information on the credit portfolio so that everybody could have a better understanding of how we ran our model, or what methodology we were using to run our model, where our exposures could potentially be. I think we're in a pretty good place. And I appreciate everybody's thoughtful analysis and questions. And I just hope that everybody stays safe. And we'll look to see you next time. So next quarter hopefully we’ll have more clarity on where we stand economically. So thank you very much. Take care.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.